Operator: Good afternoon, and welcome to the First Quarter Fiscal 2013 Gordmans Stores, Inc. Earnings Conference Call. My name is Audra, and I will be your operator for today's call. [Operator Instructions] I would now like to turn the call over to your host today, Brendon Frey of ICR.
Brendon Frey: Thank you, and good morning. Before we begin, I'd like to remind everyone that the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC and our earnings release. I'd now like to turn the call over to Jeff Gordman, Gordmans' President and CEO.
Jeffrey J. Gordman: Good morning, and thank you for joining us to discuss our operating results for the first quarter of fiscal 2013. With me is Mike James, our Chief Financial Officer; and Mike Morand, our Chief Merchandising Officer. I will start the call with the presentation of operating results in the first quarter as well as the status of our expansion plans. Next, Mike will present our financial results for the quarter in more detail, as well as discuss our guidance for the second quarter. I will then speak to selected strategic and tactical initiatives that were completed or commenced in 2012 that will contribute to improve the operating results as the year progresses as well as over the long term. We will conclude by fielding any questions you may have related to the topics covered in today's call. Comparable store sales declined by 10.5% in the first quarter compared to 4.7% comparable store sales increase last year. Our home business incurred a high single-digit comparable store sales decrease, while apparel and accessories posted low double-digit comparable store sales decreases. However, Apparel, which comprises more than half of our revenue base, saw a markedly improved results towards the end of the quarter due to leveling off of unusual weather patterns. Overall, total sales decreased by approximately 2% for the first quarter compared to last year. Sales from the 9 new stores we opened in 2012 are performing within 5% of our new store model, while the new stores that we opened from 2008 to 2012 are also performing in aggregate within 5% of our new store model. We remain confident in the scalability of our business model across a significant number of new and existing markets throughout the country. Gross profit margin, including license fees, experienced a deterioration of 250 basis points versus last year primarily due to incremental markdowns necessary to accelerate sell-throughs of inventory buildup attributable to the sales shortfall we experienced over the last 2 quarters. Earnings per share of $0.17 exceeded our earnings guidance of $0.13 due to favorable variances and store and distribution center labor expenses as well as corporate expenses but were below last year's earnings per share of $0.41. Regarding expansion, we opened a total of 3 new stores in the first quarter in the existing markets of Salt Lake City and Peoria, Illinois, a reflection of our ongoing strategy to leverage economy of scale opportunities in under-penetrated existing markets. We will open 7 more stores this year. In the second quarter, we will open 4 new stores in 4 new markets and 1 new state, which are Albuquerque, New Mexico, Louisville, Kentucky, Milwaukee, Wisconsin and Minot, North Dakota. In the third quarter, we will open 3 new stores in 2 new markets, Valparaiso Indiana, Green Bay, Wisconsin, and a second store in Albuquerque. Half of our new stores for 2013 are new construction projects, and developers are funding over 95% of the $36.5 million in total capital costs for our -- for all 2013 stores. Including the 10 stores we will open this year, Gordmans will have increased its number of stores by almost 40% over the last 3 years, expanding from 68 to 93 stores. We've made significant progress with respect to our store expansion plans for 2014, for which we remain on track to open 10 locations. In fact, we have fully executed leases for new stores in Schererville, Indiana, which is a new market, and Muskegon, Michigan, a new market and the 20th state in which the company will operate, both of which will open in the first quarter of 2014. We also have fully executed letters of intent for 4 additional locations: Grand Rapids, Michigan; Bismarck, North Dakota; Tyler, Texas; and Ankeny, Iowa, which is part of the Des Moines MSA. We are also in active negotiations for additional locations in Idaho, Texas, Minneapolis, Milwaukee and Ohio. Mike will now present our financial results for the first quarter in more detail as well as our guidance for the second quarter.
Michael D. James: Thanks, Jeff, and good morning. Net sales for the first quarter of fiscal 2013 decreased $2.5 million, or 1.9%, to $131 million as compared to $134 million in the same period last year. Comparable store sales decreased 10.5% in the first quarter of fiscal 2013 primarily driven by a decrease in comparable transactions. The decrease in comparable store sales was partially offset by sales from the 9 new stores opened in fiscal 2012 and the 3 new stores opened in March of this year. Gross profit, which includes license fees, decreased 7.1% to $59 million, and license fees from leased departments were $1.9 million	 for the first quarter of 2013 and the same period last year. Gross profit margin was 44.9% for the first quarter compared to 47.4% last year, a 250-basis-point decrease primarily driven by higher markdowns resulting from the sales shortfall to reduce our inventory levels. SG&A expenses were $53.7 million, or 40.8% of sales, versus $50.5 million or 37.7% of sales in the prior year, a 310-basis-point increase driven primarily by a lack of sales leverage, which accounted for a 220-basis-point increase in store-level expenses, a 30-basis-point increase in distribution expenses and a 20-basis-point increase in corporate expenses. In addition, depreciation expense increased 70 basis points due to increased property additions associated with new store openings and investments in upgrading our information technology systems. These increases were offset by a 30-basis-point decrease in store preopening expenses resulting from 3 new stores opened in the first quarter of fiscal 2013 compared to 4 new stores last year. Net income for the first quarter of 2013 of $3.2 million compares to $8.1 million last year, a 59.7% decrease. Our combined federal and state tax rate for the both the first quarter this year and last year was 37.5%. Diluted earnings per share of $0.17 based on 19.4 million weighted average diluted shares outstanding exceeded our guidance of $0.13. Diluted earnings per share were $0.41 in the first quarter of 2012 based on 19.4 million weighted average diluted shares outstanding. I would now like to turn to our balance sheet. Cash and cash equivalents at the end of the quarter increased by 18% to $49.4 million compared to $41.7 million a year ago. Inventory was $89.4 million at the end of the quarter, up 17.8% compared to $75.9 million at the end of the first quarter last year. That represented a 6.9% increase on an average store basis. Our working capital was $80 million or 19% greater than at the end of the first quarter last year, and we had no borrowings on our $60 million revolving line of credit during the quarter. With respect to forward-looking guidance, we're projecting second quarter fiscal 2013 net sales to be between $135 million and $137 million, which reflect a low single-digit comparable store sales decrease versus a 0.1% comparable store sales increase generated in the second quarter of fiscal 2012. We also expect continued pressure on gross profit margins related to inventory recalibration efforts as well as additional selling, general and administrative expenses related to advertising related to our loyalty program, consulting related to store productivity improvement, depreciation and preopening compared to the prior year and therefore project diluted earnings per share for the quarter to be between $0.01 and $0.03 using a weighted average diluted share count of approximately 19.4 million compared to $0.18 per share in the second quarter of fiscal 2012 using a weighted average diluted share count of approximately 19.5 million. For the 52-week year ended February 1, 2014, comparable store sales are forecasted to be down low single digits, though we expect to see consistent improvement as the year progresses. As a reminder, 2012 was a 53-week fiscal year, and sales and EPS related to the 53rd week were $6.1 million and $0.04, respectively. We're encouraged by our improving comparable store sales performance that we experienced towards the end of the first quarter and for the first few weeks of the second quarter, which has been aided by a leveling off of the unusual weather patterns that contributed to our adverse sales performance for much of the quarter. In addition, we expect that gross margins will improve in the second half of the year to be close to even with last year. I would now like to turn the call back over to Jeff.
Jeffrey J. Gordman: Thanks, Mike. We are focused on a number of initiatives in 2013 that we believe will contribute to improved results for the remainder of the year as well as over the long term. First, we commenced a guest loyalty pilot program in the third quarter of fiscal 2012 in Utah and Colorado and expanded it in the first quarter of fiscal 2013 in Chicago that is designed to reduce reliance on coupon events while expanding our transaction frequency and average sale per transaction. Based on the success of this pilot, we rolled out the loyalty program to all stores last week, 4 months earlier than we had planned. And based on initial results, we believe that our loyalty program, which we call gRewards, will enhance our comparable store sales through increases in both shopping frequency and the average sale per transaction. Second, we continue to attract exceptionally talented executives to our team. Last month, we hired a new officer responsible for our planning and allocation function with almost 20 years of retail management experience. Geoff Ayoub was most recently the Chief Planning Officer of EDCON, a South African-based retailer operating over 1,000 stores in multiple retail formats throughout 5 countries with annual revenues exceeding $2 billion. Geoff also held senior leadership positions with Home Shopping Network, J.C. Penney and Limited. We have also split our women's apparel and juniors apparel merchandise manager responsibilities to more aggressively capitalize on a number of sales opportunities and, as a result, are currently searching to fill the women's apparel and home essentials merchandise manager position. Third, we are working to improve product selection by injecting greater diversity and breadth into assortments to ensure better balance by category, price, lifestyle and brand by merchandise classification. We continue to acquire and intensify highly recognized national designers and brands, including Nike, Hurley, Fox, XOXO, PGA TOUR, IZOD Golf, OXO, Spanx  Rutger, Calvin Klein, Kenneth Cole, Miss Me, Big Star, Buffalo, Falcor [ph], Rock Revival, Lucky, Nine West, Gas, Warner's, Maidenform, Yankee Candle and WoodWick. We are -- for us -- we are leveraging our business intelligence tools and pattern recognition-based forecasting technologies around markdown optimization and replenishment to elevate our management of merchandise receipts and inventory. We are planning inventory turnover faster than last year, which will maximize our ability to quickly react to trending businesses and to maximize the currency of our inventory. Fifth, in March, we commenced construction of our second distribution center in Indianapolis, a 545,000 square-foot facility with a 100-store capacity, which will be operational at the end of the second quarter of next year. These initiatives, in combination with a number of others around store labor, management technologies, our new branding campaign and, finally, our enterprise-wide training strategies strongly position our company for long-term growth. We would now like to open up the floor for questions.
Operator: [Operator Instructions] We'll go first to Neely Tamminga of Piper Jaffray.
Neely J.N. Tamminga: Jeff, I wanted just to ask a little bit more about the loyalty program just really, I guess, more specifically around the lag time that you might have been able to see some benefit. I guess we're making the assumption that if you tested it in fall you're already rolling it out ahead of schedule, that you obviously are seeing some positives lift to sales. Does it takes weeks? Does it take a month or 2? We're just trying to get a little bit more understanding around that. Then I have a follow-up.
Jeffrey J. Gordman: Sure. We did experience success around increases in our average sale per transaction, as well as the penetration of our total transactions that's attributable to loyalty. So similar to a lot of our initiatives around merchandising, around planning and allocation, around other technologies and processes as well as around our branding campaign, we believe that as the year progresses, we will see incremental improvements in comparable store sales. And certainly, loyalty is one of those catalysts to drive that incremental improvement.
Neely J.N. Tamminga: Could you see some potential lift, I mean, even as early as later this quarter? I mean, does it take much for the customer to kind of get engaged and understand the program? Or what's the learning on boarding period for the loyalty program?
Jeffrey J. Gordman: In terms of resonating with our guests, it's pretty simple in how we're articulating it and how the program works. So we certainly believe it has the potential to positively impact the business sooner rather than later. That being said, the way we're guiding is that once again, this is just one of several vehicles that we have to generate improvements in comparable store sales quarter by quarter.
Neely J.N. Tamminga: That's fully understood. And we appreciate your conservatism. And then, can I ask a little bit more about traffic counters? I think you guys have been talking about traffic kind of rollout in general. Are you chainwide within this -- are you chainwide at this point? And just wondering what sort of specific strategies that can come from implementing the traffic counters?
Jeffrey J. Gordman: Sure. We rolled out traffic counters to all stores last year, and we'll basically have annualized numbers. So being able to compare this year versus last year starting in August. We've integrated sales with our traffic counter systems to calculate conversion rates, which has actually increased since we implemented traffic counters. And we're using the traffic data as a driving metric in our workforce scheduling system, that's our store labor management system and technologies, to better align staffing with our guest shopping behavior. And regarding conversions, we've gone from a conversion rate in the mid-40s to the high 40s, which has been accomplished through our reporting tools, improved visibility, improved scheduling and improved store focus.
Operator: We'll go next to Erika Maschmeyer with Robert W. Baird.
Erika K. Maschmeyer: I've got a few questions around inventory and margins. Historically, you've been able to clear through elevated inventory at higher-margin rates than what you're seeing in the business right now. I guess how are things kind of different now versus then?
Jeffrey J. Gordman: Can you -- would you mind restating your question?
Erika K. Maschmeyer: Sure. I guess to talk about kind of Q1 and Q2 margin or kind of specifically, what are you expecting for gross margin in Q2? And how much of this is a case of not maybe being as aggressive as you could have been in Q1 to kind of get into, I guess, a better inventory level at the end of Q1?
Jeffrey J. Gordman: Sure. Well, we do, as we indicated in prepared remarks, believe that we'll experience continued compression and pressure on gross margins in the second quarter. It won't be quite as deteriorated versus last year in the second quarter versus the first quarter. We believe that we're being quite aggressive with respect to how we are recalibrating our inventories as we're executing our new merchandising initiatives, and a lot of this is simply around that sales shortfall that we experienced in the fourth quarter and first quarter, resulting in a little bit of inventory buildup that we want to make sure that we're very aggressive and smart about our inventory management practices. We're very focused on continuing to improve on our inventory aging, which is making progress as we move throughout the year, as well as our clearance penetration, too. We're really focused on ensuring that we're delivering consistent flow of fresh merchandise receipts, which is the critical success factor to driving sales. So it all really works in concert with each other. And we believe that after the second quarter, where -- we will see gross margins that are much more commensurate with last year.
Erika K. Maschmeyer: Okay. And then so you said you don't expect as much of a decline between Q2 and Q1 of this year as you saw last year. Last year, gross margin was 160 basis points lower than Q2 than it was in Q1. Is that the right way to think about it? So something kind of less than that this year?
Jeffrey J. Gordman: No, what I said was -- or what I meant to say is that the gap or the deterioration in gross profit margin in terms of basis points, vis-à-vis last year.
Erika K. Maschmeyer: Got you. Year-over-year?
Jeffrey J. Gordman: Yes. The second quarter will not be quite as large as the first quarter, but it will still be significant.
Erika K. Maschmeyer: Okay, got you. That makes sense. So the year-over-year change. And then, I guess you said that you expect some comp improvement throughout the year. How are you planning the inventory? I know you said kind of fresh receipts. So I guess how conservative are your plans for inventory throughout the year? And I know that you're planning on having faster turnover. I guess how much have you improved turnover year-over-year? And how quickly could you adjust receipts if you -- if we suddenly saw unfavorable weather this summer or fall?
Michael D. James: Erika, this is Mike James. On -- just from an inventory perspective, as Jeff indicated, we are planning to be aggressive with respect to making sure that inventories are as clean as they can be going into the third quarter for back-to-school. And at this point, we're still projecting that, that inventory, the balance year-over-year on an average store business, will be about the same from a dollar perspective that we'll have at the end of the -- of Q1. But we do expect the inventory to be cleaner with respect to aging when we compare it to last year.
Erika K. Maschmeyer: Okay, that is helpful. And then Geoff Ayoub, his -- what's his kind of initial take on your planning and allocation structure currently? And was he planning on focusing these inventory when he starts or as he starts?
Michael D. James: Well, this is Mike Morand. Geoff's been here for about 10 days. His focus is the same focus as really supporting our merchandising offense, number one. So he's getting on board with where our strategies are for fall. At the same time, he brings tremendous skill sets in helping us manage receipts and inventories commensurate with our sales plans for fall. So again, he's getting his feet on the ground, he's getting in tune with the merchandising strategies going forward as well as really being a terrific partner in managing the receipts and the inventories commensurate with our sales forecast.
Jeffrey J. Gordman: And just I meant that basically, our planning and allocation function is part of our sales offense. Planning and allocation, we restructured it, so it is now reporting up to merchandising, and Mike Morand oversees the entire combined merchandising and planning allocation function. So we really have basically 2 sets of eyes, 2 teams, taking slightly different approaches to identify opportunities to drive the business, and Geoff's going to be a phenomenal part to in regard. And I just wanted to clarify Mike's answer to your previous question around inventories to be clear. We are quickly moving to inventory levels that are even to last year on an average store basis, and we believe that, that's where we'll close to at the end of the second quarter. And we will continue to drive merchandise receipts so that those are increasing relative to reductions, reductions being a combination of sales and markdowns. So the way we're thinking about planning the business is tightly aligning merchandise receipts 30 days prior to merchandise reduction, such that we're really driving comparable store sales.
Operator: We'll move next to Richard Jaffe at Stifel.
Richard Ellis Jaffe: And Jeff, you've been putting a lot of energy into re-staffing or strengthening your management team, and wondering the time frame on some of the impact we'll see from a merchandising standpoint, from inventory control standpoint, when we'll see it in stores, and then when we'll see in -- hopefully in sales. So timing on the impact of the new leadership team.
Jeffrey J. Gordman: Absolutely. And just to be clear, too, if we take a step back, the entire leadership team, we have 4 -- actually, 7 executives that are new within 18 months essentially. So as I've hopefully been pretty consistent in articulating, we absolutely will be seeing, or we believe that we'll be seeing, the impact of that leadership and talent as the year progresses. In fact, we are starting to see improvements in our comparable store sales, and, certainly, we're pleased with at least how the quarter is starting on. So as indicated previously, we should be seeing improvements very consistently month by month, quarter by quarter. We're constantly locking our floors in our stores throughout the country. And we're starting to see the manifestation of a lot of our merchandising initiatives, and that will continue to roll out.
Richard Ellis Jaffe: Are there further jobs to be filled? You mentioned the women's job and I'm wondering if there's anything else left. Or at this point, other than that one position, are your set with your team?
Jeffrey J. Gordman: Right, and this is now the role of the executive officer-level critical positions. Yes, we have -- for merchandise managers, we actually added a position or made the decision a couple of months ago to add a position to the merchandise manager ranks, and we have 2 openings. One is in women's, and the other is in home. That being said, we certainly have strategies in place to provide strong management oversight of those areas until the positions are filled.
Operator: [Operator Instructions] We'll go next to Evren Kopelman at Wells Fargo.
Evren Dogan Kopelman: A question for Michael. When you think about the merchandising changes you're making, can you talk about where the biggest opportunities to impact comps in the second half are?
Michael S. Morand: Certainly. Thanks Evren. The biggest opportunities we have, first and foremost, are in Missy  Sportswear and Men's sportswear, which we have talked to you before as being underdeveloped businesses for us. In addition to that, we have businesses that we term turnaround businesses that had difficult fall seasons last year such as young men's, junior tops and the teen business that we've been focusing on in terms of major businesses that offer us comp store growth in the fall season.
Evren Dogan Kopelman: When you think about the turnaround businesses you just mentioned, I guess maybe looking back at where some of the weaknesses were, I mean, what's your confidence level in those -- in the turnaround businesses in terms of merchandising them this year as they lack those, maybe, easy compares?
Michael S. Morand: I would characterize our confidence as high in those areas. High because we have specific strategies in place. We're not just relying on making up business due to a comp sales decrease last year, but we're taking a proactive and aggressive stance in those businesses to not only make up business or sales lost last year but hopefully exceed that. So I'll characterize our confidence as high driven by specific strategies to generate sales comps in those areas.
Evren Dogan Kopelman: Okay, great. And then for Mike, for SG&A expenses, as we model them through the remaining quarters, anything we should think about that might move things from quarter-to-quarter? Or is it pretty much as you would expect for the flow of SG&A?
Michael D. James: I think that probably the biggest thing Q2 related is the number of stores that we opened in Q2 versus -- this year versus last year. So we have one additional store that we're opening in the second quarter this year compared to last year. So from a preopening perspective, there'll be an impact. I think the rest of the SG&A would -- you would expect it to flow fairly even to last year.
Evren Dogan Kopelman: Okay. And lastly, on the new stores, are they still in line -- are they opening up in line with your expectations? And are you -- are the new markets acting any differently than maybe stores you opened in existing markets?
Jeffrey J. Gordman: No, there really is not any differentiation between stores that we're opening and existing versus new markets. And in aggregate, the stores are, as we indicated in the prepared remarks, working within 5% of how we're modeling them. So we're pleased overall.
Operator: And we'll take our last question from Bill Dezellem at Tieton Capital Management.
William J. Dezellem: Well, since I'm last, I'll make it a group of questions, if you don't object. First of all, would you please discuss the consulting that you referenced in the press release that's related to store productivity improvements?
Jeffrey J. Gordman: Sure. We engaged a consulting firm actually at the end of last year to review our store operations. And at the end of the year, they delivered to the company a number of recommendations. We selected the recommendations that we wanted their assistance with. And that implementation is really happening in the first 2 quarters of this year, Q1 and Q2, and then we would expect to receive the benefits associated with those productivity improvements in the second half.
Michael S. Morand: And just to provide a little color in terms of the type of work, it was really around how we have our store associates structured in terms of size of management teams, ratio of full-time and part-time associates to maximize efficiency and the number of hours that we have both to address TATs as well as service and delight our guests. There are initiatives just around front end and how we have some of our POS and stations configured so that we're optimizing the speed and ease of the checkout experience, initiatives around cash management and how often we're having that take place and the labor dedicated to that, et cetera. So pretty basic initiatives, and we believe that, in fact, we will realize pretty meaningful results due to that work.
Operator: And that does conclude today's question-and-answer session. I'll turn the conference back over to Jeff Gordman for any closing remarks.
Jeffrey J. Gordman: Thanks, operator. In closing, we hope that today, we have clearly conveyed the progress we are making with regard to positioning Gordmans for consistent long-term growth. We believe that our mission and selling proposition has broad appeal and resonates with consumers at all income levels across a broad section of the country. There are significant opportunities to expand both our geographic footprint as well as to expand comparable store sales to fuel this growth. Lastly, our hearts go out to the families and friends of the victims of the category F5 tornado that struck Moore, Oklahoma on Monday as well as all who suffered injuries and massive property losses. Gordmans actually operates a store in Moore, which somehow managed to escape damage. We greatly appreciate the heroic efforts of the first responders and so many others who have come to the aid of this community. To support these efforts, we have contributed to the American Red Cross Tornado Relief efforts and are also inviting our guests in our stores throughout the country to do so as well through our Lending a Helping Hand initiative now through June 1. Thanks so much for your continued interest in and support of our company.
Operator: And that does conclude today's conference. Again, thank you for your participation.